Operator: Good day, and thank you for standing by. Welcome to the Fiscal Year 2025 Laureate Education, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Adam Morse, Senior Vice President of Finance. Please go ahead.
Adam Morse: Good morning, and thank you for joining us on today's call to discuss Laureate Education's Fourth Quarter and Year-End 2025 Results. Joining me on the call today are Eilif Serck-Hanssen, President and Chief Executive Officer; and Rick Buskirk, Chief Financial Officer. Our earnings press release is available on the Investor Relations section of our website at laureate.net. We have also posted a supplementary presentation to the website, which we will be referring to during today's call. The call is being webcast and a complete recording will be available after the call. I would like to remind you that some of the information we are providing today, including, but not limited to, our financial and operational guidance, constitutes forward-looking statements within the meaning of applicable U.S. securities laws. Forward-looking statements are subject to risks and uncertainties that may change at any time, and therefore, our actual results may differ materially from those we expected. Important factors that could cause actual results to differ materially from our expectations are disclosed in our annual report on Form 10-K filed with the U.S. Securities and Exchange Commission earlier this morning as well as other filings made with the SEC. In addition, all forward-looking statements are based on current expectations as of the date of this conference call, and we undertake no obligation to update any forward-looking statements. Additionally, non-GAAP measures that we discuss, including and among others, adjusted EBITDA and its related margin, adjusted net income and adjusted earnings per share, total cash and equivalents, net of total debt and free cash flow are also detailed and reconciled to their GAAP counterparts in our press release or supplementary presentation. Let me now turn the call over to Eilif.
Eilif Serck-Hanssen: Thank you, Adam, and good morning, everyone. Laureate delivered another strong year of performance in 2025 with sustained revenue growth and expanding margins. Full year revenue reached $1.7 billion, and adjusted EBITDA was $519 million, both exceeding the guidance we provided last October. Throughout 2025, we continue to execute on both our growth agenda and our productivity initiatives, which resulted in top line growth of 9% and a historical high margin of 30.5% for the full year. We maintained strong financial discipline throughout the year and closed 2025 with a net cash position. Our cash accretive business model enabled us to return $217 million of capital to shareholders last year through our stock repurchase program. We remain well positioned to continue to invest in future growth and innovation while maintaining our commitment to returning excess capital to shareholders. Today, we are also pleased to announce that our Board of Directors has authorized an additional $150 million increase to our stock repurchase program, underscoring our focus on long-term value creation for shareholders. With nearly 500,000 students across Mexico and Peru, we have proven that excellence and scale can go hand-in-hand. The scale that we have achieved provides significant competitive advantages in terms of our ability to invest in growth, innovation and academic excellence. In 2025, we continue to strengthen our academic offerings and made further investments in our campus networks, including the opening of 2 new campuses for our value brands, one in Monterrey, Mexico and one in Lima's Ate District. Both projects opened on time and on budget, and they performed as expected during their first year of ramp. We also made further investments in our Health Sciences portfolio last year, including the opening of a new medical school and a new veterinary school. Health Science programs remain a key focus for our institutions given the long-term demand and workforce needs for graduates in that field of study. Laureate also continues to lead the way in innovation, both inside and outside the classroom. The significant investments we have made in online capabilities position us as the leader in online education in both markets. We now serve more than 100,000 students in our fully online programs focused on working adults. Within our back office, our innovation capabilities have been acknowledged by industry leaders such as Google, who recently recognized Laureate Mexico as the most advanced company in digital marketing maturity across all industries in Spanish-speaking Latin America. These type of recognitions highlight Laureate's deep digital expertise, which in turn has put us at a significant competitive advantage when it comes to embedding AI tools into our student life cycle journey. Our investments, combined with innovation mindset continue to drive improvements in our academic quality and student outcomes. Throughout the network, our institutions continue to be recognized as leaders in the sector. We are pleased to share the latest results from QS Stars, one of the world's leading independent university ranking and ratings organizations. For the third consecutive year, all our universities in Mexico and Peru have achieved 5-star rating, the highest rating attainable in employability, online learning and social impact. Our institutions also received strong market recognition for academic excellence and brand leadership. A few examples from this past year include: in Peru, UPC ranked the #1 education brand for the fifth consecutive year by MERCO and received a 5-star global university rating by QS Stars. In Mexico, UVM was ranked the second best private university by Reader's Digest 2025 ranking, second only to Tec de Monterrey. Our value brands in both markets, UPN in Peru and UNITEC in Mexico, were ranked in the top 10 in their respective countries by the same ranking agencies. I extend my deepest gratitude to our faculty and staff for their commitment to academic excellence and congratulate them on these outstanding recognitions. Looking ahead, we remain confident that the demand for quality higher education in both Mexico and Peru will continue to increase. This demand is fueled by rising participation rate, strong wage premiums for graduates and the affordability of our programs. Additionally, the private sector, which accounts for over 55% of the combined university seats in the 2 countries, plays a critical role in the market due to limited public resources. For 2026, our guidance called for U.S. dollar reported revenue growth of 11% to 12%, of which approximately 5 points is attributable to the more favorable FX environment. Further, we expect 50 basis points of margin expansion during 2026, reflecting continued operating leverage from growth initiatives despite some incremental costs associated with the opening of new campus locations. We see sustained growth opportunities in both markets, including building additional new campuses for our value brands in new cities and site locations over the next 5-year period and have already begun to procure land for some of these new sites. Additionally, we are expanding our addressable market through continued AI-enabled investments in digital education with a significant focus on fully online segment for working adults. Many of our AI tools that we have developed for the online portfolio are also being deployed to our face-to-face students and short course upskilling efforts. From a macroeconomic perspective, we expect Mexico's GDP growth for 2026 to be relatively modest, albeit slightly better than 2025. The key upcoming event to watch is the USMCA trade negotiations. President Sheinbaum's pragmatic approach to managing the U.S.-Mexico relationship has helped maintain a constructive tone as discussions are being kicked off. Many economists anticipate a favorable outcome and are projecting an increase in economic activity for Mexico starting in the second half of 2026, setting the stage for a more robust GDP growth in 2027. In Peru, the economy continues to perform solidly with strong domestic demand and a favorable macro environment. Supportive monetary conditions, strong commodity prices and new mining projects should continue to underpin strong economic activity throughout the year, even against the backdrop of a presidential election. From a supply and demand perspective in Peru, we continue to rapidly scale our fully online offerings, but are somewhat capacity constrained in our face-to-face campus operations. We expect that to be alleviated following the launch of our second new campus that opens in March of 2027 in South Lima with additional new campus projects beyond that already in the pipeline. That concludes my prepared remarks, and I will now turn the call over to Rick Buskirk for a more comprehensive financial overview of the fourth quarter and full year 2025 performance as well as further details on our 2026 outlook. Rick?
Richard Buskirk: Thank you, Eilif. Before I discuss our financial performance for the quarter, let me provide a few important reminders on seasonality. Campus-based higher education is a seasonal business. Although the fourth quarter is not a large intake period, it represents a strong earnings quarter for the company as classes are in session for much of the period. In addition, the timing of the start of our classes can shift year-over-year depending on various factors such as when public universities begin classes or when holidays occur. This, in turn, affects the timing of enrollments and revenue recognition and quarter-over-quarter comparability. In 2025, the beginning of classes, particularly in Peru, started later versus 2024, extending the enrollment cycle into mid-April and beyond the first quarter cutoff. As a result, we had an intra-year shift in timing that resulted in approximately $25 million of revenue and $21 million in adjusted EBITDA to be shifted from earlier in the year to the fourth quarter. Let's start with Pages 11 and 12 of the supplementary presentation, which highlights our operating and financial performance for the fourth quarter and full year. Revenue in the fourth quarter was $541 million and adjusted EBITDA was $204 million. Both metrics were ahead of the guidance we provided 3 months ago, aided primarily by improved currency rates. On an organic constant currency basis and adjusted for the academic calendar shift discussed earlier, revenue in the fourth quarter was up 10% year-over-year and adjusted EBITDA increased by 14%. Fourth quarter net income was $172 million, resulting in earnings per share of $1.17 per share on a reported basis. Fourth quarter adjusted net income was $112 million, and adjusted earnings per share was $0.76 per share, an increase of 46% as compared to the fourth quarter of prior year. Now moving to full year results. For 2025, new enrollments increased 8% versus prior year, and total enrollments were up 5%. Full year revenue was $1.702 billion and adjusted EBITDA was $519 million. This resulted in an adjusted EBITDA margin of 30.5%, which is a new historic high for Laureate. On an organic constant currency basis, revenue for the year increased by 8% and adjusted EBITDA was up 13%, resulting in a 131 basis point improvement in margins, led by a 164 basis point increase in Mexico. Our continued focus on productivity is yielding strong results. Full year 2025 net income was $284 million, resulting in earnings per share of $1.89 per share on a reported basis. Adjusted net income was $256 million and adjusted earnings per share was $1.72 per share, an increase of 22% as compared to prior year. Let me now provide some additional color on the performance of Mexico and Peru, starting with Page 14. Please note that all comparisons versus prior year are on an organic and constant currency basis. Let's start with Mexico. New enrollments increased 5% for the year, led by growth in fully online programs focused on working adults across both our premium and value brands. Total enrollments in 2025 increased 4% compared to the prior year or 5% same-store. As Eilif referenced earlier, Mexico's macroeconomic environment has recently been characterized by slower growth. Our results underscore the resilience of our operating model and the value proposition we offer to students and their families. Mexico's revenue for the fourth quarter increased 12% compared to the prior year period. Adjusted EBITDA for the fourth quarter was up 10% year-over-year. For full year 2025, revenue growth of 9% was driven by a 6% increase in average total enrollments and 3% of price/mix. Overall, pricing for the year was in line with our cost of inflation for our traditional face-to-face students. Adjusted EBITDA increased 17% in 2025 versus the prior year period, expanding Mexico's margins by 164 basis points to 26.1%, driven by strong operating leverage from revenue growth and productivity gains. Let's now transition to Peru on Slide 15. New enrollments increased 13% for the year, driven by double-digit growth in our fully online programs that serve working adults as we continue to scale in that segment. Total enrollments for the year increased by 7% compared to the prior year. Revenue growth for the fourth quarter was 22% and adjusted EBITDA increased 49% year-over-year, primarily due to the timing of the academic calendar I referenced earlier. When adjusted for the timing of the academic calendar, fourth quarter revenue increased 8%, while adjusted EBITDA was up 16%. For full year 2025, revenue in Peru increased 7% year-over-year, driven by a 6% increase in average total enrollments. Overall, pricing was in line with our cost of inflation for traditional face-to-face students. We are seeing a price/mix impact on average revenue per student due to the higher growth rate of our fully online programs, which are offered at a lower price point. We expect that mix impact to continue in 2026 as we scale up our online segment in Peru. Adjusted EBITDA increased 9% versus the prior year with a margin expansion of 54 basis points. Let me now briefly turn to our balance sheet. Laureate ended the year with $147 million in cash and $129 million in gross debt for a net cash position of $18 million. During 2025, we repurchased $217 million of common stock under our existing authorization. Since 2019, total capital returned to shareholders has exceeded $3 billion through share purchases, cash distributions and cash dividends. Today, we announced that our Board has authorized a $150 million increase to our share repurchase program. This authorization is supported by our strong balance sheet, cash accretive business model and disciplined capital allocation. As a result of this upsizing, a total of $181 million is available under the current authorization as of year-end 2025. We expect to continue returning excess capital to shareholders in 2026. Let's now transition to our discussion on guidance. We remain excited about the growth opportunities in Mexico and Peru and expect continued operating momentum in both markets during 2026. A little context by market before getting into the ranges, reiterating some of what Eilif discussed earlier. In Mexico, the macroeconomic conditions are expected to remain soft for much of 2026, aligned with the operating environment in 2025. We expect improved conditions in the second half of the year and as we head into 2027 following the conclusion of the renegotiated USMCA agreement. In Peru, we intend to continue to rapidly scale our fully online offerings. As we are in the process of building incremental face-to-face capacity with our series of planned new campus launches, strong fully online growth is expected to continue to create a price/mix impact on average revenue per student. Lastly, we are operating in an FX environment where the Mexican peso and the Peruvian sol have appreciated significantly against the U.S. dollar versus the same time last year. This FX environment is currently expected to create some favorable foreign currency translation effects for us as we start the year. With that context, let me now move to our guidance ranges. Based on our assumed FX rates, we expect full year 2026 results to be as follows: total enrollments to be in the range of 516,000 to 521,000 students, reflecting growth of 4% to 5% versus 2025, revenues to be in the range of $1.890 billion to $1.905 billion, reflecting growth of 11% to 12% on an as-reported basis and 6% to 7% on an organic constant currency basis versus 2025. Adjusted EBITDA to be in the range of $583 million to $593 million, reflecting growth of 12% to 14% on an as-reported basis and 7% to 9% on an organic constant currency basis versus 2025. This would result in an increase in adjusted EBITDA margins of approximately 50 basis points at the midpoint of our guidance on a reported basis. For 2026, we expect adjusted EBITDA to unlevered free cash flow conversion of approximately 50% on a reported basis, supporting our continued emphasis on return of capital to shareholders. Lastly, today, we are introducing adjusted earnings per share guidance for 2026 with adjusted earnings per share to be expected to be in the range of $1.95 to $2.03 per share, reflecting growth of 13% to 18% versus 2025 on a reported basis. This non-GAAP measure is intended to provide greater transparency into our underlying profitability and improve comparability across periods. Now turning to our first quarter guidance. As a reminder, Q1 is a seasonally low quarter as classes are largely out of session in January and much of February. In addition, in terms of the seasonality for 2026, we will have some intra-year calendar timing as outlined on Slide 22 of our presentation. For the first quarter specifically, approximately $9 million of revenue and related profitability is expected to shift out of the first quarter to later in the year. With that context, for the first quarter of 2026, we expect revenue between $261 million and $265 million and adjusted EBITDA between negative $20 million to negative $17 million, reflecting growth in fixed costs and investments in our new campuses during a largely out-of-session period. That concludes my prepared remarks. Eilif, I'm handing it back to you for closing comments.
Eilif Serck-Hanssen: Thank you, Rick. 2025 was another strong year for Laureate, in which we continue to deliver on our commitments through disciplined execution, focused growth and innovation investments and sustained operational excellence. We see attractive growth opportunities across Mexico and Peru in the years to come and remain committed to executing on our growth agenda. As an established emerging market company with developed market governance, we look forward to another year of value creation for all stakeholders in 2026, guided by our mission to expand access to high-quality, affordable higher education and to positively impact the students and communities we serve. Operator, that concludes our prepared remarks, and we're now happy to take any questions from the participants.
Operator: [Operator Instructions] Our first question will be coming from the line of Jeff Silber of BMO Capital Markets.
Jeffrey Silber: You mentioned in your prepared remarks potential new campus openings. And I'm just curious, one, how far in advance do you have to make that decision in order to make sure that you've got the capacity? And two, how do you decide whether you're going to create your own versus potentially buying a campus that already exists?
Eilif Serck-Hanssen: Jeff, this is Eilif. In terms of timing, it takes about 18 to 24 months to launch a new campus, and that includes the time to find the land, get the licenses, the permits, the zoning, build the campus and then launch [indiscernible] date. In terms of buy versus build, it really is an IRR question. Typically, we have been building, then we get it exactly to the stack. It takes a little longer to ramp versus buying. But typically, it's more economical for us to just build the campus. We have the playbook and then we get the operating model just the way that we want it.
Jeffrey Silber: Okay. That's helpful. And then also, you talked about AI and how you're using it in your business. The market is very jittery these days about AI disruption. Do you see any parts of your business that might be at risk from AI disruption?
Eilif Serck-Hanssen: I think AI is going to be our friend. AI is going to improve retention. It is going to improve the learning outcomes. It is going to continue for us to expand the quality -- access to quality education in the markets where we are serving. And I think the focus for us is to make sure that we are launching the programs for where tomorrow's jobs reside. And I think that is the #1 priority for us. And then that's followed closely by making sure that we are leveraging AI to continue to improve outcomes and reduce cost of education.
Operator: And our next question will be coming from the line of Marcelo Santos of JPMorgan.
Marcelo Santos: I have also 2. The first question is on the guidance for 2026. In terms of FX-neutral revenue growth, it implies some deceleration versus what was presented in 2025. Could you just please comment what are the sources, the ups and downs that lead to this slight deceleration in the FX neutral? That's the first question. And the second question is just asking about the expansion of distance learning in Peru. I wanted to ask about the market. Are you noticing a ticket discipline in the market? Or are you noticing like the other players who are launching being more aggressive? Just wanted your comment to see how the market is developing with this new technology.
Eilif Serck-Hanssen: Great. Rick, do you want to take the guidance? And I'll take the online.
Richard Buskirk: Sure. Marcelo, just to start off, we have shown a consistent ability to continue, as you know, to grow the business in both strong economic times as well as softer macroeconomic times, showing the resiliency of our business model and our ability to expand margins. Specific to 2026, in Mexico, as we noted in our opening remarks, the softer macroeconomic conditions are impacting our outlook. And as a reminder, the primary intake last September for Mexico was up 2% reported, 4% same-store, excluding closures for new enrollments and 4% for total enrollments. The results from that intake carry much of our volume for 2026 in Mexico until we hit the primary intake again in Q3 in the fall. So we do expect macro conditions to be better in the second half of the year following the conclusion of USMCA. That may benefit this year's primary intake, but it happens later in the year and be felt more in 2027. So that's Mexico. In Peru, though the macroeconomic backdrop is stronger, we've been very successful historically of filling up capacity in that market and are more capacity constrained. And as a result, we're addressing that through a series of new campus launches, including one in which we'll launch in March of next year. So those 2 factors are creating a slight deceleration year-over-year, but we're still very, very encouraged about it. And on top of that, we're expanding, as you saw, margins by 50 basis points. That 50 basis point margin expansion is including the netting effect of investments in these new campuses, which creates an offset around 25 basis points. So we're absorbing that 25 basis points within the 50 basis points margin expansion. So again, a little deceleration, but we feel great about this business and our ability to grow in good economic times and slower economic times, and that's some more clarity for you. I'll pause there, and see if you have any more questions.
Marcelo Santos: And my next question is on guidance.
Eilif Serck-Hanssen: Great, Marcelo. Your second question was on online or distance learning in Peru. That is accelerating really, really well for us. The market is very receptive to the innovative product portfolio that we have launched over the last couple of years. We are growing robustly in that market. And as I think I've mentioned before, it is a product that is designed for the working adult consumer. So it is very distinct and separate for the face-to-face undergraduate programs that we are selling to young students, high school leavers. And for that reason, there's very little cannibalization between these 2 product offerings. In terms of pricing, we have done our price volume elasticity studies. And so we have been a little bit more cautious in taking pricing increases in the working adult segment in favor of rapid growth in that market. So ARPS are flattish in the online segment, but the growth is very, very robust.
Operator: And our next question will be coming from the line of Lucas Nagano of Morgan Stanley.
Lucas Nagano: The first one is related to the adjusted EPS guidance. So the question is below the EBITDA line, there is any implied change -- material change in your assumptions versus 2025, either in capital structure or taxes? And the second question is about the capacity constraint in Peru. To what extent should it affect new enrollments and price/mix this year based on what you said these drivers should be addressed next year with the new campuses?
Richard Buskirk: Yes, sure. And in terms of our adjusted EPS guidance, we're happy to provide that. Number one, it's an important metric for us as we continue to move forward. It's a high-quality company. Relative to last year, I think you'll see a small increase in G&A as we bring new campuses online. I think you will also see that taxes should be generally in line, slightly improved. And then lastly, you'll see a little bit higher interest income because of the funding of our new campuses in Peru. Sorry, I think in your second question, was related to...
Eilif Serck-Hanssen: Second question on capacity constraints. We are running higher utilization in Mexico than in Peru. The same-store has a little bit more restrictions. It's not material at this point, but it's one of the reasons why we're adding more capacity with new campus launches still in Lima for our value brand as well as adding more classrooms to existing campuses in Peru.
Richard Buskirk: And Lucas, just to follow on to what Eilif said, I think you saw very strong fully online growth last year in Peru. As a result, we had 7% volume growth, 7% revenue growth. If you look at average enrollment, it was 6%. So it's about 1% price/mix. I think you'll see a big impact of price/mix as well this year in Peru as we continue to really provide some leadership position in the fully online segment and go after that. That pattern should recur in 2026.
Operator: And our next question will be coming from Eduardo Resende of UBS.
Eduardo Resende: I got just one question from my side. Talking about the softer economic activity expected in Peru this year, especially with discussions regarding USMCA, do you see any risk of this potentially impacting the company's ongoing investment plans in the country? And how do you see tuitions evolving the scenario and your capacity to pass through the costs in Mexico this year? So that's all from my side.
Eilif Serck-Hanssen: Thank you, Eduardo. So the softer economic conditions in Mexico is really a continuation of what we have seen since the second half of 2024. And it was driven by some uncertainties following the election, the uncertainty around tariffs and the trade situation between Mexico and the United States. And so that softer GDP production in 2025, it was below 1%. In 2026, it's expected to be somewhere between 1.4%, 1.5% GDP. And then the expectation is that post USMCA, there will be an uptick in direct foreign investment again into Mexico as we saw in 2023, that is going to then drive GDP growth up into the 2 to 3 percentage point range. So how I would describe 2026 is a continuation of 2025 was slightly lower. And during 2025, we saw volume production of 3% to 4% growth, and we saw pricing consistent with inflation. And it is that kind of momentum that I expect continuing into 2026 with potentially some upside in the second half of 2026 when there's clarity on USMCA and hence, the level of private investment in the country.
Operator: And I am showing no further questions. I thank you for all participating on today's conference call. This concludes today's call. You may now disconnect.